Operator: Good morning. My name is James, and I'll be your conference operator today. At this time, I'd like to welcome everyone to the Ritchie Bros. Auctioneers First Quarter Conference Call. [Operator Instructions]. Thank you. I'll now turn the call over to Mr. Zaheed Mawani of Investor Relations to open the conference call. Mr. Mawani, you may begin your conference.
Zaheed Mawani: Good morning, and thank you for joining us on today's call to discuss our first quarter 2020 results. Joining me today are Ann Fandozzi, our Chief Executive Officer; and Sharon Driscoll, our Chief Financial Officer; along with other members of management, who will be available for the Q&A portion of the call.  The following discussion will include forward-looking statements. Comments that are not a statement of fact, including projections of future earnings, revenue, gross transaction value and other items are considered forward-looking and involve risks and uncertainties. The risks and uncertainties that could cause our actual, financial and operating results to differ significantly from our forward-looking statements are detailed in our SEC and Canadian Securities filings available on our Investor Relations website at investor.ritchiebrothers.com. We encourage you to review our earnings release and Form 10-Q, which are available on our website as well as EDGAR and SEDAR.  On this call, we will discuss certain non-GAAP financial measures. For the identification of non-GAAP financial measures, the most directly comparable GAAP financial measure and a reconciliation between the two, see our earnings release and Form 10-Q.  Presentation slides accompany our commentary today. These slides can be viewed through the live or recorded webcast or downloaded from our website. All figures discussed on today's call are in U.S. dollars, unless otherwise indicated.  I'll now turn the call over to Ann Fandozzi.
Ann Fandozzi: Thank you, and good morning, everyone. These are truly extraordinary times. And on behalf of all of us at Ritchie Bros., I'd like to express our deepest gratitude to the selfless individuals on the front line as we battle this global pandemic. Every day, we are reminded of a few things: the critical roles our service plays in the lives of our customers; the perseverance of our employees in the face of adversity; and the resilience of our business, reinforced by our unique technology-enabled multichannel platform.  Before we get into the details of the quarter, I would like to share some insights on the impact COVID-19 has had in our company. As you all know, COVID-19 has created a tremendous amount of uncertainty and financial strain for people and businesses around the globe. And although our business has not gone unaffected, we have rallied and strengthened around the common purpose, which we call our True North, being there for our customers while keeping them and our employees safe. This is our True North, and we are aligned and committed to this common purpose.  At a time when our customers need liquidity most, I am so proud of the resiliency, demonstrated by our employees and their commitments to our customers and each other. One often hears about a company's culture, sometimes a thing difficult to put into words. Well, after just a few months at Ritchie Bros., I can tell you, our culture is all about customer focus, perseverance and heart. I am proud of how quickly we pivoted our business. In a matter of 96 hours, we transitioned 100% of our business to online sales, with flexible work arrangements and our people remotely supported by technology and working in safe environments. It's clearer than ever that our multiyear investments in digital capabilities have prepared us well for this moment, which has turned very much into a competitive advantage for us.  It is also important to recognize that we entered the situation with an exceptionally strong balance sheet and liquidity position. And from a financial and business continuity standpoint, we are well-positioned to continue operating and creating long-term value for our stakeholders. Despite challenges that arose during the quarter from COVID-19, our team delivered very strong first quarter results. Sharon will take you through the operational and financial highlights. But to deliver 24% earnings per share growth, while achieving better-than-expected outcomes for our confiners in the midst of a crisis, is nothing short of exceptional.  Now turning to Slide 5. I will spend a few minutes describing our response to COVID-19. From the beginning of the crisis, we established 3 key priorities, which govern our response efforts. First, the health and safety of our employees, our customers and their families. Second, continuing our operations safely to ensure we were there for our customers. And third, strictly adhering to all safety regulations and guidelines, such as those implemented by the CDC, World Health Organization and other government entities. There was no compromise there.  Our crisis management steering team was swiftly put in place with a mandate to implement business continuity plans, while responding to a quickly evolving safety and regulatory climate. As a result of the COVID-19 pandemic, we instructed employees at many of our offices across the globe, including our corporate headquarters, to work from home on a temporary basis, and we implemented company-wide travel restructuring. Of our nonfield-based employees, 94% transitioned and are currently working from home. For our field teams and employees at auction sites, approximately 55% are working remotely, while the remainder are working in shifts, alternating between auction sites and home.  Through the Ritchie Bros. platform of auction technology solutions, our company was able to largely continue our operations and serve our customers' liquidity needs.  In addition to our digital-only solutions, which include our IronPlanet Weekly, Marketplace-E and GovPlanet at online auctions, we modified and transitioned all of our traditional live auctions to online bidding. While the live events transitioned to 100% online bidding, sellers were granted access to drop off their equipment to our physical auction yard, under the strictest of safety and health guidelines. We were equally able to keep our buyers safe by staggering pre-auction inspections and keeping equipment pickups to similarly staggered schedules. In addition to these steps, we have also implemented measures to change how we physically interact with our customers, installing plexiglass protective guards, transitioning away from cash to accepting only electronic payments and a fierce adherence to hygiene and disinfection protocols.  From a technology standpoint, we proactively looked for ways to optimize our transactional website and customer experience. We quickly scaled up our systems to be able to handle 400% more online activity at a single period of time. As a result of these efforts and others, our business remains operational with limited disruptions. To date, we have only had to postpone 4 live events due to lockdown situations in certain regions, where it was impossible for consignors, buyers or our employees to be at our site for equipment drop-off or pick up. I'm pleased to say that Los Angeles and Montreal were rescheduled and very successfully executed in April.  Moving to the next slide. I'd like to take a moment and discuss how we report our results today, using live and online to delineate our business. Online is what you would expect, a fully digital auction experience. But if we peel back our live auction business, we find something interesting. Even before COVID-19, across all channels, 65% of our winning bids we're already coming in online. And today, 100% of the live auction is digital.  So what then does live versus online ruling? As I've gotten to know our business, I've come to learn that the demarcation of live versus online has little to do with the transaction of the auction itself. The demarcation has to do with where the physical equipment sits. For many customers, they simply prefer to drop their equipment off at our auction sites, so we can manage the entire process on their behalf, storing the equipment, inspecting it on site, scheduling delivery post sales, et cetera.  For other customers, they prefer to hold on to the equipment, and for us to provide our services like inspections, title and lien search, closing of the transaction, et cetera, remotely. The bottom line is this. We are a digital company that also has world-class live operations. This is a key source of competitive advantage, allowing us to be there for our customers, however and wherever they need us.  With that, let me transition the call to Sharon to discuss the quarter's operational and financial highlights.
Sharon Driscoll: Thank you, Anne, and good morning, everyone. We have a lot to cover today, so I'm going to jump right in. Our first quarter GTV was down 2%, and was adversely impacted by 4 auction postponements in Japan, Italy, Los Angeles and Montreal. For a comparable reference, these 4 auctions generated $63 million in GTV in Q1 last year. So on that basis and adjusting for these timing differences, our GTV would have been up 3% on a comparable basis.  Total GTV purchased online was 75% this quarter, up from 60% in Q1 of 2019. This includes the last 2 weeks of March, where 100% of all purchases were completed online. In addition, our pure-play online GTV from IronPlanet Weekly, Marketplace-E and GovPlanet had robust growth of 17% in the quarter. Our live auction GTV declined 6%, primarily due to the auction postponements or essentially equal to last year on a comparable basis after removing these events from the 2019 base.  In the U.S., both the regional and strategic accounts teams once again delivered another strong quarter. The team delivered positive GTV growth across all channels, and posted its largest quarter in the history of our U.S. business. The live event growth was particularly impressive as the team rallied to overcome not only the lower comparable year-over-year Orlando event, but also the effect of the postponement of our L.A. auction.  The Canadian team came off of the challenge in Q4, and we're trending well through mid-March, but ultimately posted a decline in GTV for the quarter, due to the postponement of the Montreal auction. Excluding this postponement, our Canadian team would have delivered positive GTV growth.  Eastern Canada continued to outpace the rest of the country, and once again delivered strong results. We also had strong online growth from Marketplace-E, which was up 111% in the quarter. GTV in our international group was down sharply in the quarter, principally driven by 3 factors. First, the international region was already navigating economic uncertainty and a general slowdown in Europe and Asia. Second, we were also cycling strong nonrepeating inventory packages from Q1 of last year. And third, the compounding effects of COVID-19. The COVID-19 impacts were more pronounced in our international region as the spread of the virus began in mid-February, resulting in lockdowns and social distancing challenges ahead of North America.  With much of the European region and Asia Pacific in lockdown, we had to postpone our auctions in Japan and Italy. The international team moved all other live auctions over to online or timed auction lot capabilities. Notably, our Australian team moved their live auction events over to the IronPlanet Weekly featured platform and had huge success with that online model in the quarter, with both positive buyer and seller reactions.  Overall, our operational metrics remained strong, with year-over-year growth in most of our key measures. With the shift to 100% online, our digital marketing team kicked into high gear, creating strong demand and bringing the buyer base like no others in our industry can do.  Moving now to the financial highlights. Our total revenue decline of 10% was primarily from our 31% decline in inventory sales revenue, partially offset by the 6% increase in service revenues. Commission revenues increased 1%, with fee revenue up 12% in the quarter. Fee revenue was up as a result of our fee harmonization, which incidentally, we will lap on June 1, a higher volume of small lots and our Lake and GovPlanet auction events.  RBFS also produced double-digit revenue growth of 16%. Our operating income was up 1%, driven by our service revenue growth and solid operating leverage, partially offset by approximately $2 million of nonrecurring depreciation and amortization and other expenses. These costs relate to the termination of a U.K. business arrangement for our GovPlanet business unit, the collapse of a U.S. property transaction and executive departures announced during the quarter. Net income improved 26% from the combination of operating income growth, lower interest expenses, a lower year-over-year effective tax rate and a receipt of $1.7 million of proceeds on contingent consideration from the sale of our Machinio investment in 2019.  Before I move on, I would like to inform everyone about a subsequent event, which will need to be considered for Q2. On April 8, 2020, the United States Department of Treasury and the Internal Revenue Service published final regulations related to hybrid transactions that were introduced in the initial U.S. Tax Reform Act. Based on earlier preliminary regulations and in accordance with generally accepted accounting principles, we recorded income tax benefit of approximately $6 million in the 12 months ended December 31, 2019, and $1 million in the 3 months ended March 31, 2020, which will be effectively nullified by these final regulations.  As a result, we will be reflecting an unfavorable adjustment of approximately $7 million in our second quarter earnings. Excluding the impact of this retroactive charge, we expect our go-forward tax rate to be in the range of 25% to 27% for subsequent quarters.  Turning to our Auctions and Marketplaces segment. Service revenue was up 8% in the quarter. On a regional basis, U.S. service revenue increased 17%, driven by higher fees from our harmonization, GTV growth and very strong guarantee rate performance versus Q1 of last year.  Canada service revenues decreased 6%, primarily due to lower commissions and fees earned on lower service GTV, as a result of postponing our Montreal event. This was partially offset by an increase in revenues, driven by fee harmonization.  Our international service revenue decreased 23%, primarily due to lower commission and fee revenue from sharply lower GTV, resulting from the postponement of 2 live auctions impacted by the COVID-19 pandemic and lower overall volume of contracts in this region. On a rate basis, we were pleased with our A&M service revenue rate, coming in at 13.5%, roughly 130 basis points higher than last year. The rate improvement was due to fee revenue growth from the harmonization, plus our Lake Auction and GovPlanet sales.  Moving on to our Auctions and Marketplaces segment inventory sales revenue. The 31% decline in our inventory sales revenue was due to lower inventory volumes in our international and U.S. regions, partially offset by stronger performance in our Canadian region. The 31% decline was not attributable to any COVID-19-related impact. Our Canadian inventory sales revenue was up 117% over last year, with international revenue declining 58% and our U.S. region also declining 16%. On a rate basis, our implied rate of return on inventory deals in the quarter was 9.5%, which was 141 basis point improvement over year-over-year and roughly a 400 basis point sequential improvement from Q4.  Looking ahead based on our strong balance sheet. We are very much open for underwriting quality inventory deals, but we are applying a higher degree of rigor in our valuations. Moving on to SG&A expenses. Our SG&A dollar increase was driven by continued investments in strategic growth initiatives and key growth enablers like technology and improving our customer experience.  These investments, combined with higher travel and entertainment expenses through mid-February, accounted for the majority of the growth in our SG&A and were partially offset by lower cost of share-based compensation due to the mark-to-market volatility of our DSU program. Notably, we continue to apply a strong discipline on expense management as our SG&A only grew 3%, which was half the rate of growth of our service revenues.  Since the COVID-19 pandemic began, we have been critically looking at our costs across the company, and we are taking steps to manage expenses as we apply company-wide efforts to control discretionary spending where possible, and monitor productivity levels, in response to the new operating environment.  Due to our strong cash position and our ability to keep generating revenues, we have taken some moderate SG&A cost actions to date. We have been able to keep our business operational through this pandemic. The future impacts are uncertain and not easily predictable. Should our business experience material volume declines, resulting from increased severity or duration of the downturn, we are fully prepared and ready to take necessary cost actions to optimize our business structure, while preserving our ability to rebound when market conditions improve.  As over 70% of our costs are fixed in nature, primarily people and site costs, we do anticipate possible erosions to operating margins in future quarters, in the event of service revenue declines across certain regions.  Our disciplined capital allocation and the substantial efforts we have put into deleveraging our balance sheet over the past 3 years has made a tremendous difference. And as a result, we believe we are very well-equipped from a liquidity standpoint to navigate the unprecedented global environment that we are facing today.  In addition to our ongoing ability to continue to generate cash flows, at the end of the first quarter, we had $356 million in cash, cash equivalents and restricted cash, in addition to available credit facilities of $640 million of which $462 million was unused at the end of the quarter.  Additionally, at this time, we are comfortably within our debt covenant thresholds and don't have any material debt maturities until October of 2021. And in this context, our capital allocation priorities shift to cash preservation and investing wisely to support our business operations, while continuing to prioritize our dividend.  Specifically with regard to the dividend. We currently have no intention to change our approach at this time, but are carefully monitoring the ongoing situation as the pandemic impact unfolds. We have also repositioned our CapEx program to support only essential property spend and our technology program. As such, we are revising down our full year 2020 expected CapEx spend to now be between $35 million to $45 million.  Consistent with our directive of repurchasing shares to offset auction dilution, we purchased 1.5 million shares for $53 million during the first quarter, however, suspended our instructions once the economic severity of the pandemic became clear. Existing authority under our current NCIB share repurchase program expires on May 8, and we have no intention to renew at this time.  Finally at the end of the first quarter. Our adjusted net debt to adjusted EBITDA ratio was 1.3x, well inside of our target ceiling of 2.5x. We believe we are very well-positioned with a strong balance sheet and liquidity position to navigate a multitude of economic scenarios. And we plan to maintain our disciplined approach to investing capital to enhance the long-term value of our company.  Before closing our prepared remarks related to our balance sheet metrics, I'd like to provide some color on our operating cash flow for the quarter of $4.1 million, a 94% decrease over last year. There were 2 primary drivers. First, 2019's Q1 operating cash flow was exceptionally strong as the higher-than-normal inventory positions held at 2018 year-end sold through at our U.S. and European events. And second, our cash flow was negatively impacted by approximately $30 million to $40 million due to the postponements of the 2 North American auctions into Q2. Even with these considerations, on a trailing 12-month basis, our operating free cash flow increased 94% to $228 million.  Lastly, I want to touch on our return on invested capital measure of 10%, showing solid improvement from 7.7% in Q1 of last year. We are pleased with our continued progress. And pre-COVID-19, we were on track to achieve our stated Evergreen ROIC target of 15% by the end of 2021. However, with our priority shifting to cash preservation, and focusing on stabilizing our business during this crisis, we can no longer commit that this target will be achieved during this time frame.  To conclude my remarks, I would like to thank our Ritchie Bros. global team for their tremendous effort and results in this quarter. Your dedication, resilience and commitment to serving our customers is nothing short of amazing.  With that, let me turn the call back to Ann.
Ann Fandozzi: Thank you, Sharon. In these moments of uncertainty, it is clear just how much of an asset and competitive advantage our multichannel platform truly is. As an example of the power of our platform, in our recently completed Los Angeles auction in April, 84% of the equipment received online bids, even before the auction started, via a feature we call priority bid, which opens up well in advance of auction day.  As a further nod to our technical agility, we quickly shifted all our agricultural auctions to timed auction lots. While in Australia, we combined several technologies, and offer the market a unique IronPlanet e-reserve solution. The answer of how we were able to act so quickly is quite simple. We were already an online company.  COVID-19 highlighted that the spears between our live and online realm are blurring, interconnected and strengthened one another. Whether we call it live, or we call it online, we are providing our customers with a 100% digital auction experience, combined with world-class live operations, which manage the care and custody of their equipment, however, and wherever they need us to be.  Before I close out the prepared remarks, I would like to share some considerations on our second quarter. We've aligned our organization around key priorities. First, the health and safety of our employees and our customers; second, being there for our customers to serve their unique needs; and third, focus on staying well-positioned with a strong balance sheet and ample liquidity.  As we look ahead, we expect the uncertain environment to remain, and current conditions indicate that Q2 could be the most challenging quarter of 2020. Historically, Ritchie Bros. does well in downturns, and we expect that to continue.  Q2 is unique because of the uncertainty surrounding the quarter. As all of you can relate, modeling right now is difficult, given the number of unknowns. However, let me share some of what we are seeing in our business and in the broader macro environment.  Our international region is still very challenged by lockdowns and border restrictions, hindering equipment movement, coupled with a high degree of uncertainty around the timing and strength of recovery as international economy starts to slowly reopen. We mentioned earlier that our international service revenue in Q1 declined 23%. We expect a moderate recovery in Q2, but still expect the challenging operating environment in this region to continue.  Looking at North America now. Several forecasts for the U.S. economy are suggesting GDP declines of 25% or greater. The pandemic, together with a dramatic plunge in oil prices, will put more distress on to many of our customers. And without question, many consignors will need liquidity. This pressure may drive incremental supply, but some consignors that are able to may hold on to their equipment and take a wait-and-see approach in this uncertain pricing environment.  Equally, if bankruptcies increase, those deals can take as long as 12 to 18 months before equipment finds its way into the auction channel for disposition. A further notable item for our North American business is that we are cycling over the massive $93 million Columbus, Ohio auction from last year, which had a large liquidation package that will not repeat in Q2 2020.  Looking at current trends. We're about a month into our quarter, and so far, we're off to a reasonable start. Our rescheduled Los Angeles sale was up 17% versus last year, and the rescheduled Montreal sale was 29% above last year. Although our Moerdijk Netherlands April auction was down 74% versus the same event last year, clearly showing the impact of the constraints in our international business.  As for the balance of the quarter. It's still early as our auction calendar for the quarter is heavily back-end weighted, with the majority of our auction events scheduled in June. Our cautious approach to Q2 is also informed by the macro conditions and headlines. The ABI and nonresidential construction data are showing uncertainty and decline. And it is unknown at this point how or when government stimulus can help offset any potential decline in demand for used equipment.  Recently announced OEM production cuts and issues around OEM supply chains may affect the availability of new equipment and the release of trade-ins affecting our used equipment supply. And finally, rental companies are cutting CapEx and aging out fleets, which could negatively impact equipment that this vertical brings to auction. All in, taking everything into consideration, you can understand why we're viewing Q2 as likely the toughest quarter of the year. As far as looking further into 2020 and the back half of the year, it would not be responsible for us to speculate that far, given the degree of uncertainty and lack of visibility that far out.  In closing. While the near-term will be challenging, we remain very confident in the strength and resiliency of our business over the long term. I want to thank our employees for their dedication and hard work. There is nothing normal about the situation in which we find ourselves today. And our employees have risen to the challenge, taking the extra steps necessary to keep each other safe and to serve our customers. I could not be prouder to be a part of this great company.  With that, operator, please open the line to questions.
Operator: [Operator Instructions]. Our first question comes from the line of Michael Doumet with Scotiabank.
Michael Doumet: First, just congratulations on the successful transition online. So understanding it's still early, I wanted to get a sense for, one, how long do you expect to maintain online-only auctions? Two, what long-term implications you see from this transition? And three, just where this places you amongst your competitors in the implications for market share going forward?
Ann Fandozzi: Michael, Ann Fandozzi here, happy to handle the question. So the answer to the first question of how long we expect to be online-only? I think we're going to let surroundings -- the environment dictate that. Our business has proven that we can continue to operate and candidly thrive, keeping our customers and employees safe, while driving a very healthy marketplace. So the time line of that will continue.  Your broader questions of COVID-19 learning. It's actually been -- for me, I'm kind of just through my fourth month. It's been a fascinating journey to see all of the learnings, in small ways and in very big ways. So on the small side of the front, it's been fascinating to see how remote work arrangements can very much work for us, allowing us to leverage talent in many parts of the globe virtually. So that's for sure. We're going to take that forward.  But also really, the spelling this live versus online, kind of dichotomy of our business. So kind of what I said in the prepared remarks. So when you think about the transactions going 100% online, that was a incredibly fast pivot. I want to give a huge nod both to our customers, but also to our sales force, as to really act as the trusted advisers and change the entire sales process, advisory services, everything that we provide to our customers in a virtual way.  But equally importantly to remember that live still continues and thrives, despite the fact that the transactions happen online. Live, again, as I said, is more about where does the equipment fit. So our customers simply prefer the vast majority to drop off the equipment at our auction sites, so that we can perform all of the services, inspections, all the way through closing of the sale on their behalf, and that continues even in this environment. The steps we've taken is staggering the drop-offs, staggering the pickups, ensuring that our employees and customers stay safe. But these are all of the learnings that we're going to be taking forward with us.
Michael Doumet: Okay. Great. And just on the last part, how -- I guess, your competitive advantage stacks you up against some of your competitors?
Ann Fandozzi: Yes. It's interesting. In our industry, and I can still plead being new, we don't really have great market share metrics. This is actually something that we are going to be putting in place. So stay tuned for that.  As we build out our broader data competencies. We've been investigating our capabilities and developing them, as you've seen with the launch of our market trend summary report, which started in March. And a deeply embedded data tool in our RBA's product set. So we're really leveraging and flexing the muscle that is the data source of Ritchie Bros., to drive a lot of acumen about our business. Figuring out market share is just kind of next on the horizon, if you will.  First and foremost, it was about understanding what's happening with the market and really being the leaders in the data space that we are. And again, that was the launch in March of the market trends report. Many of you have seen and then a much deeper integration into the RBA's product with all of the data sources available to us. But we do, in fact, believe that on almost any metric, the trend is very positive for us.
Michael Doumet: Okay, great. And maybe just an unrelated follow-up. I want to get your thoughts on how we should think about the A&M revenue rate, particularly as it starts to run into some tougher comps into Q2? Specifically, for the near term, I mean is there any consideration being given to flexing commissions or fees to sort of optimize the overall flow through?
Sharon Driscoll: Yes. So Michael, it's Sharon. I can -- I'll handle that. Again, you're correct, we do start to cycle some pricing actions on the fee side that we took in June 1 of last year. But again, we're seeing continued growth out of the mix of assets that is really driving some incremental buyer fees. And that's just the lower items end up not being capped at the top end of the rate.  And again, the purpose of the buyer fee is really to make sure the buyer was agnostic between which channel they purchased on. And so that has been highly advantageous for us to enable this quick pivot that we've made. So we expect that, that rate to, at least, hold and grow slightly, but not at the same pace that we've seen over the last year.
Operator: And our next question comes from the line of Michael Feniger from Bank of America.
Michael Feniger: Just following up on the rate. I mean just bigger picture. I know we're lapping this harmonization fee, June 1, but just bigger picture, Sharon and Ann. Why -- can you give us the movie piece of why should rate go down, if at all? I mean is it the bias for rates to go on the upside with seeing more of these small value lots? You guys are adding a lot more services, RBFS. Can you just walk us through the puts and takes? And why, in a year from now, rate won't continue -- to just continue to grind higher?
Sharon Driscoll: So again, Michael, I'll take that. So just the first question was related to our A&M rate, so that does not benefit from all the services that you talked about in terms of Ritchie Bros. Financial Services. And we didn't say that we don't expect it to decline, we just don't expect a rate of increase to be at the same rate that we've seen for the last year. So we are still expecting it to hold and increase.  And you're absolutely right. As we continue to drive further growth through our other value-added service offerings that don't come with GTV, you would see top of the house revenue rate increases that we would expect to continue to drive growth in future quarters.
Michael Feniger: And the underwriting, I mean, you guys were able to put up an impressive quarter with underwriting, think of only 15% of GTV, very low. How do you guys manage this going forward? Because obviously there's been some years where you have supply/demand imbalance, and you get caught offside with the at-risk portion of the business. So I'm just curious if you see yourself driving that 15% of underwriting up? And how you guys are going about that?
Sharon Driscoll: Yes. So Michael, it's Sharon again, I'll handle that. Clearly, with the strength of our balance sheet, we believe we are one and the only competitor in the space that can actually support underwritten business at this time, and that's going to be a much needed service that our customers need as they're looking for liquidity.  One of the things that we do look at, we have tremendous data that's available on pricing. And we certainly saw in -- over-the-road trucks, we called out in Q4, that we had already begun to see pricing compression in that category. And so all of -- and our valuation team have just done a really exceptional job of mitigating our risk and exposure to those price declines by using that data and being very on top of where we see future pricing could be.  Clearly with this, both oil and gas shock and COVID-19, that we're certainly taking a very prudent approach to valuation. And again, we will continue to take risk as it's required, both through taking inventory positions or guaranteed contracts, when the right deals come along. And then, also do a bit of a pitch for a new product that we have out, which is the pricing tool, which we just launched this quarter. And so certainly, that's -- pricing information is not only available to us, but it's also now available to others, and you have access to that through our investor website.
Michael Feniger: That's helpful. And I just -- when you're referring, Sharon, to other downturns and dislocations in the market, I was hoping you could just flesh out how COVID is maybe impacting your ability to gain share in other asset categories? Obviously you have government -- GovPlanet and other platforms. Are you seeing -- because of your platform investment technology, are you guys seeing an increase in ability of the auction market in other asset categories, aside from just the construction and heavy equipment that you guys have served in prior cycles?
Sharon Driscoll: So I can start, and maybe, Ann, you can add some color. Clearly, our primary business is construction assets and over-the-road trucks transportation assets. Those are and will continue to be our prime focus area, particularly in the underwriting of deals.  So we don't -- we're not, at this point, looking at sector expansion but we do expect that with the pressure that's now on oil and gas assets, we do believe that, that will bring more construction, transportation, oilfield services, transportation assets to market. Certainly, we will endeavor to support consignors in whatever way they need and whatever assets they have. But clearly, our marketing reach is really focused on driving our core asset categories, being construction and over-the-road trucks.
Ann Fandozzi: Yes. Sharon, and I would only add, so this is Ann, that the platforms that we have, the technology investment is ubique. So it's really there to provide a service for their customer -- for our customers in whatever way they need us to provide it. Our core customers obviously the construction segment, but if you take a look at any of our sales, especially the weekly featured and Marketplace-E, there's quite a span of equipment that sells across categories, anything from vehicles, all the way through very, very heavy mining equipment.  So the technology allows it to be wherever we need it to be. And in fact, that's more our customer focus, our land, 60 years of expertise in this industry, that is kind of causing construction to be our bull's eye, but lots and lots of rings around that center, allowing customers to use our platform for liquidating anything they need.
Operator: And our next question comes from the line of Scott Fromson with CIBC.
Scott Fromson: So given the pain to the -- your competitors in physical auction, are you planning to put some initial efforts into identifying the competitors' assets that could bolster certain geographies or auction product lines? Or are you already well into this process?
Sharon Driscoll: So Scott, it's Sharon. I don't know if that's kind of the acquisition kind of question. Is that what you're asking?
Scott Fromson: Exactly.
Sharon Driscoll: Yes. So I'll start. Clearly, our first priority is to get through this crisis, and make sure that we have cash available to support the needs of our operational business and again, support the dividend. So although there may be opportunistic options that become available that still states our primary focus, we will look at things if they do fit our network. But right now, I would not say that's a top priority for us to add on additional regional competitors.
Scott Fromson: Is this something that you'd look at further down the line? Or do you need to see how things really shake out?
Sharon Driscoll: Yes. So clearly, we're always looking at acquisitions that we think makes sense. We've bought the technology that actually takes us beyond regional boundaries. So our approach on regional acquisitions and consolidation, we believe that our technology is actually the primary weapon to basically allow for that growth. But as I said, we're always open to looking at opportunities as they arrive.
Scott Fromson: That makes sense if this pandemic permanently changes the kind of the landscape of how auction is done.
Operator: Our next question comes from the line of Ben Cherniavsky from Raymond James.
Ben Cherniavsky: I guess, I'm trying to figure out how you -- like what's the net impact for you guys from the current macro environment? I mean there's a couple of puts and takes. As you've outlined, you've got -- you become the one source of liquidity, you've moved your auctions all online, you have that capability. You drive off dislocations, and yet on the other hand, you're protecting the balance sheet.  You've sort of withdrawn targets on ROIC. I understand that we just don't know where we're -- like the visibility and modeling is virtually impossible right now. But I guess, I'm trying to figure out what the net takeaway is here. Is this something that's going to be -- even beyond the second quarter, which I appreciate is already quite visible. How does this impact your business? Is this a net negative for the time being?
Ann Fandozzi: Yes. So let me start. And so this is Ann, Ben, and then we'll -- Sharon can, of course, add in. So modeling, I think, is the key word here, Ben. So we are running scenarios, taking all of the publicly available information and running model-after-model. So we have models that look like Ls that says recovery will be a ways away. We have models that look like Vs that have a much deeper trough, but then a fairly quick rebound. And then, we have Ws that kind of bounce around. And under all of the scenarios, first and foremost, we want to make sure that from a balance sheet and liquidity standpoint, we have no issues, and that's what you heard from Sharon. So that's number one. Number two, if Q1 is a microcosm, then you see the puts and takes for our company are largely kind of neutral to positive. In the long run, we're confident it is very positive. The question for us is what is the link of the uncertainty. So less than the length of the recovery, but really the length of the uncertainty.  So if things get worse, and we know there may be even more need for liquidity because [indiscernible] are, let's say, going out of business, those things for sure come our way, but they can take as much as 12 to 18 months to work through the system, the bankruptcy process, until it finally makes its way to auction. If there's a snapback in recovery, then obviously all the stimulus packages and kind of construction boom, that bodes well for us.  I think what you're hearing from us is, in the long run, we're very bullish. Obviously a very strong Q1. We believe Q2 is our biggest challenge. Again, April started well, but the uncertainty around -- surrounding Q2 is something we just can't look away from. It's a reality.
Ben Cherniavsky: And I appreciate that you migrated these events online, and that most people are already bidding online anyway. But how do you fill the pipeline of trends? Like your business is very relationship-driven, very transactional, your territory managers are out there hustling deals every day. How do you fill the pipeline of lots and transactions when you're under a lockdown, travel restrictions, customers won't let you on their sites to inspect or if they do, it's very difficult to do that? What's the net impact of those kinds of variables on your business?
Ann Fandozzi: Yes. So Ben, I have had some really incredible learning since I've been here and very positive surprises. So I think the one you're highlighting has been maybe the most positive of them all, besides the fact that we were a digital company all along. And now just acting like it with a very strong live operations. So what has been very surprising, in a positive way, is that our sales organization is actually not missing a beat. They have moved all communications and advisory services to our client base, which, of course, we've had over 60 years into a virtual environment. So completely staying on top of every development, finger on the pulse; candidly, even busier now than they ever have been before, but needing to ensure that we're really listening and understanding our customers and what their needs are, what their time lines are.  And as Sharon said obviously having all of the tools at our disposal, all of the data, the new pricing tools to help inform and guide what our customers should do. So that's been really an incredible turn of events. And then secondarily, with the same place orders, we have had no issues thus far. Very, very, very spotty, if any, at all, on inspection services. So our inspectors are out and about, obviously, taking all of the health and safety precautions but inspecting products, bringing them to market. So on the sales side, on the inspection side, on the supply side of the business, it has stayed very, very strong in a virtual environment. It's just really a testament to this business.
Ben Cherniavsky: Yes. I can appreciate that, and I imagine that is very impressive. I would still question what the human factor is in all of this, if you can really build relationships over a screen versus a fishing boat and the dinner and the way that the business traditionally was developed, the relationships and the trust was built. I don't know if that -- maybe that's changed in the world? I guess, we'll see. But I've got to think that has an impact on the long-term market development opportunities for Ritchie Bros. for your sales force and territory managers.
Ann Fandozzi: So let's hope, in the long run, we can get back to both fishing trips and dinners. Let's hope for that thing forever.
Ben Cherniavsky: Yes. Okay, then. And so I guess, another long-run question then, just given what's happened here in your transition to the digital platform. Do you see a permanent change in the model when we do return to normal? Like do you think you need live auctions anymore? Do you need the big bidding booths and as many sites as you've got? Or -- and now does this -- I appreciate the central depository component of the business. But like the model could look radically different if you don't -- if you really don't think you need these yards anymore or as many of them?
Ann Fandozzi: Okay. So Ben, that is an interesting question, and that's been my biggest aha since I've been here. Is really, when I came in, I was thinking of our live operations versus online. Whereas you would think about them in a retail landscape, right? So you're shopping at a physical brick-and-mortar store. Tomorrow, I'm home and I click on a button, and the warehouse that used to ship something to the physical store just shipped it to my house. That was my preconceived notion coming into Ritchie Bros. What I have found coming in here is that, that is really not what online versus buy does for us, kind of as I shared a little bit in the prepared remarks. As you stated, the majority of our actual transaction, the bidding of a live auction, already was happening online. So when we say we were always a digital company, that shift was more about the technology back-end, ensuring we can handle the higher volume flow, but all of our systems and processes were set up to handle it already because that's who we were. Live for us is really about putting yourselves in the shoes of a customer and understanding what they want to do with the equipment. And the vast majority of our customers want to hand over their equipment when they no longer need it, for us to handle soup to nuts. So drop it off at a site, we do the inspection, we do all the title and lien work, we prep the product, we handle customers coming in to take a look before an auction. We obviously manage the transaction.  And then we are the ones that manage the kind of pickup and delivery part of it. That is the vast majority of our customers want that, desire that. That's a huge source of advantage for us and really world-class live operations that allow that to happen. Some portion of our customers say, "No, look, I don't mind, I'm going to keep the product here to -- and handle everything remotely," where we send out inspectors, kind of do everything virtually with the title on research. The customer then kind of handles the interaction with the seller to ensure pickup, and we still close the transaction. So I think as we think about live sites, it actually has very little to do with the auction and the transaction itself. It has to do with this critical service we provide for customers for care custody and control of their products. We intend to be there for our customers, however, whenever they need us. And the thinking around number of sites and all of that will be through that lens, in terms of providing service to our customers and not at all around day of auctions since even before this, the vast majority of that did not happen at the live auction site.
Ben Cherniavsky: Yes, and proximity to airport and hotels to facilitate on-site bidders, and those kind of factors in where you located your auctions, how big they were, the live auctions, that would all change or could all change?
Ann Fandozzi: I think all of that is in consideration, but first and foremost is ensuring that we provide the service that our customers want, need and clearly value.
Operator: [Operator Instructions]. Our next question comes from the line of Cherilyn Radbourne with TD Securities.
Cherilyn Radbourne: So on balance, your outlook commentary for Q2 was pretty cautionary. And I guess, I'm just trying to square that against some pretty impressive performance at the Montreal and L.A. auctions in April, really kind of at the height of the lockdown in this part of the world. Is there a reason that we shouldn't see those as sort of encouraging data points?
Ann Fandozzi: Yes. So Cherilyn, hello, it's Ann. That's why we -- the answer is, of course, April, encouraging. The answer also is Q2 is fraught with uncertainty. For every -- and this is more kind of on the macro considerations, or even company-specific. So just some facts that I highlighted during the prepared remarks, but let me bring them more to life, right? It is a fact we're going to be lapping a Columbus, Ohio auction versus Q2 of last year that's not going to repeat. It is a fact that our international business was hit hardest, and we don't expect that to significantly change in Q2. Other macro considerations, and we're hearing them candidly as much from you guys as anybody else, which is obviously the volatility in the oil and gas sector and what it doesn't mean. Some OEMs taking production cuts. So does that mean there's a short-term supply chain impact? Rental companies potentially cutting CapEx or holding onto equipment a little bit longer? Again, we believe these are short-term in nature. Of course, the question is, how short-term?  And so again, that's why we -- all of that makes us cautious about Q2, and potentially making that the toughest quarter of the year. Your comments, Cherilyn, are exactly right, in terms of from any kind of reasonably long-term perspective, this is a company that does well, period, in good times and in bad.  It's during the short periods of uncertainty that we find ourselves fear for Q2 that we want to be cautious in our approach.
Cherilyn Radbourne: Okay. And do you have any theory as to why the mobility of equipment and lockdowns have had a greater impact on your international territory versus domestically in North America?
Ann Fandozzi: Yes. So I think it's a little bit back towards Sharon's comments in the beginning, which is they were -- those markets were already saw even in the back half of last year. So that's number one. Number two, COVID hit first, and it hit hardest. Obviously Asia, then spreading to Europe. One of the first outbreaks in Italy happened to be very, very close, in close proximity to that site. So I would say the backdrop was not -- the trend was already soft coming in, and then it was hit hardest. And now we're slowly reopening. We're very cautious. We're optimistic about what we're seeing. But again, the thought of that kind of turning on a dime in Q2, that is not something that we think is a high probability event. And Karl was also on the line. If you wanted to add anything from an international?
Karl Werner: Sure. Cherilyn, I think the question around the border control. So the difference between North America and Europe mainly. In North America, if someone buys something in Washington State and wants to take it to California, there's no quarantine when you go back and forth. Compared to Europe, now with the border closures, when a customer from Poland goes to Germany to buy something, the drive rest quarantine for 14 days. And vice versa, when they go back to Poland, they have to quarantine. So that's kind of put a damper on how the equipment is moving from country-to-country, even within the EU.
Cherilyn Radbourne: Okay. That's very helpful color. Maybe if I can just sneak in a last one. You came to the end of your initial performance period on GovPlanet. You've renewed that for a year. Maybe you can just comment on how you would evaluate that first 2-year performance period in terms of cross-selling with the existing Ritchie Bros. customer base, and the return on capital employed into things like warehouses and inventory?
Ann Fandozzi: Yes. So let me start, and then maybe we can ask Sharon to pick up the thread. So I would say the headline for GovPlanet from me is learning about new competencies and new customers. And candidly, it has been invaluable. So as we -- on the surface, we're an auction house, but obviously -- and we've been in the GovPlanet business and the rolling stock for quite some time. Really, it's the non-rolling that was new to us, required us to build warehousing competencies, a different kind of interaction with customers. And I feel like that's been tremendous. Obviously so good, that we extended. And really, what we're going to be doing over this next period of time is thinking through our competencies. How do we bolster them? What can this business really drive? The unique value we could add to the various customers, obviously, buyers and sellers. So we're still very much and now taking the learnings that we've had, and then moving them into the space. So what does that mean long-term, in terms of additional investments or anything else looking forward? So we're very much transitioning to that now-what state of thinking. Sharon, anything you would like to add?
Sharon Driscoll: No. I think you've handled it. That's great.
Operator: And our next question comes from the line of Kevin Condon with R.W. Baird.
Kevin Condon: Many of them have been answered. But I was hoping you could shed a little more light on what levers you have with SG&A expenses. You mentioned a fairly fixed cost base, but with potentially an accelerated shift to a more digital model, understanding you've had the online channel for a while and your physical infrastructure is still important, and an advantage with online bidding. But are there opportunities to meaningfully change your cost or levers you can haul to reduce SG&A, especially, in a potentially more challenging GTV environment?
Sharon Driscoll: Yes. So it's Sharon, I'll handle that, and so a good question. We've been actively monitoring our expenses for the last few years. And so we are looking mostly at productivity on a daily basis now, both regionally, sites to really try to understand during this downturn how best to respond. And we have done some very small actions in a couple of business units, in a couple of regions. But mostly, our teams are fully active in -- particularly in our core U.S. and Canadian business. So we've now had to take significant actions there. I think your comment about shifting to the online model. As long as customers still want us to take care of custody and control of their assets, the sites continue to be essential, the handling of that equipment to make sure that they are cared for appropriately, while they're in our possession and is still essential.  So we will take this opportunity to really learn during this period about what are the learnings around efficiencies that we could continue with in the long term. But -- we just really want to point out, this is not really a typical B2C online business, and just simply because of the needs of our customers and the needs that they have for us to store and handle their equipment to prepare for sale.
Operator: And there are no further questions at this time. I'd like to turn the call back over to Mr. Mawani for some closing remarks.
Zaheed Mawani: Thank you, James, and thank you, everyone, for joining us on our first quarter call. If you have any further follow-up questions, please don't hesitate to reach out to me. Otherwise, we look forward to speaking with you all again in August for our Q2 call. With that, we'll conclude our call. Thank you very much.
Operator: This does conclude today's conference call. You may now disconnect.